Operator: Good day, and thank you for standing by. Welcome to the Enlight Renewable Energy's Fourth Quarter and Full Year 2025 Earnings Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Limor Zohar Megen, Director of Investor Relations. Please go ahead.
Limor Zohar Megen: Thank you, operator. Good morning, everyone, and thank you for joining the Fourth Quarter and Full Year 2025 Earnings Conference Call for Enlight Renewable Energy. Before beginning this call, I would like to draw participants' attention to the following. Certain statements made on the call today, including, but not limited to, statements regarding business strategy and plan, our project portfolio, market opportunity, utility demand and potential growth, discussions with commercial counterparties and financing resources, pricing trends for material, progress of company projects, including anticipated timing of related approvals and project completion and anticipated production delays, expected impact from various regulatory developments, completion of development, the potential impact of the current conflict in Israel in our operations and financial conditions and company action designed to mitigate such impact and the company's future financial and operational results and guidance, including revenue and adjusted EBITDA, are forward-looking statements within the meaning of U.S. Federal Securities laws, which reflect management's best judgment based on currently available information. We referenced certain project metrics in this earning call and additional information about such metrics can be found in our earnings release. These statements involve risks and uncertainties that may cause actual results to differ from our expectations. Please refer to our 2024 annual report filed with the SEC on March 28, 2025, and other filings for more information on the specific factors that could cause actual results to differ materially from our forward-looking statements. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Additionally, non-IFRS financial measures may be discussed on the call. These non-IFRS measures should be considered in addition to and not as a substitute for or in isolation from our results prepared in accordance with IFRS. Reconciliations to the most directly comparable IFRS financial measures are available in the earnings release and the earnings presentation for today's call, which are posted on our Investor Relations website. With me this morning are Gilad Yavetz, Executive Chairman and Co-Founder of Enlight; Adi Leviatan, CEO of Enlight; Nir Yehuda, CFO of Enlight; and Jared McKee, CEO of Clenera. Adi will provide a summary of the business results and turn the call over to Jared for a review of our U.S. activity. And then Nir will review the fourth quarter and year-end 2025 results. Our executive team will then be available to answer your questions. I will now turn the call over to Adi Leviatan, CEO of Enlight. Adi, please begin.
Adi Leviatan: Good morning and good afternoon, everyone. Thank you for joining us to review Enlight's fourth quarter and full year 2025 results and business performance. 2025 was another record year for Enlight. Across the U.S., Europe, and Israel, our teams delivered exceptional performance as developers, builders, owners and operators of large-scale renewable energy and storage projects. Our results reflect best-in-class execution, disciplined capital allocation, and the strength of our diversified multi-technology global platform. We are operating in a uniquely favorable environment for the energy sector, structural tailwinds, reindustrialization, electrification, and rapidly rising power demand from data centers are driving unprecedented long-term growth across global electricity markets. These trends continue to reinforce the competitive edge of our technologies. Enlight scale, portfolio depth, and proven execution position us to deliver fast, low-cost, clean energy where it is needed most. The fourth quarter capped an exceptional year. Revenue and income increased 46% year-over-year for both the quarter at $152 million and the full year at $582 million. Adjusted EBITDA in 2025 grew 51% to $438 million or 36% excluding the Sunlight sell-down. In Q4 alone, adjusted EBITDA accelerated to $99 million, up 51%. With this strong finish, we exceeded our full year revenue and EBITDA guidance by 4% and 7%, respectively. The fourth quarter also capped another record year of execution during which we significantly expanded every component of our portfolio and advanced projects across all stages of development. Our total portfolio expanded 26% during 2025, growing by 7.8 factored gigawatt to reach 38 factored gigawatts. The mature portfolio grew 33% to 11.4 factored gigawatts, and the operating portfolio increased 30% in the past 12 months. In Q4, two major U.S. projects, Quail Ranch and Roadrunner achieved COD ahead of schedule, delivering over 800 factored megawatts combined at approximately 13% unlevered returns. These additions doubled our U.S. operating portfolio to 1.6 factored gigawatt, underscoring our ability to deliver large solar-plus-storage projects on time and with attractive economics. Our under-construction portfolio, a significant contributor to our short- and medium-term growth has doubled over the past year. During the past 12 months, we started construction on the projects totaling 2.6 factored gigawatts. This reflects our capability to systematically mitigate development risks and push projects towards maturity. The most significant addition during the quarter was CO Bar 1 and 2, with a capacity of almost 1 factored gigawatt. CO Bar is a 2.4 factored gigawatt flagship project. Our largest to date. It comprises of five and a total investment of $3 billion. It is expected to generate an unlevered return of more than 13% as a result of a well-executed connect and expand strategy. Another notable project that started construction earlier in the year was Snowflake A, also in the U.S. with a capacity of 1.1 factored gigawatt. We also added more than 2.5 factored gigawatts to our pre-construction portfolio over the past 12 months. The most notable additions were Phase 4 and 5 in the CO Bar complex with a combined capacity of 0.9 factored gigawatt. Advancing CO Bar is a major achievement for Enlight and for our U.S. subsidiary, Clenera, and Jared will elaborate more on this shortly. Our U.S. platform continues to demonstrate best-in-class development expertise, providing strong visibility into our growth beyond 2028. 100% of preconstruction projects, 89% of advanced development and 53% of development projects have completed their system impact study, a critical step for interconnection certainty. We continued to proactively manage tax incentive eligibility in the U.S. by safe harboring more than 4 factored gigawatts over the past quarter leading to more than 13 factored gigawatt that were eligible for tax equity investments before 2026. We expect that all of our advanced development portfolio and up to 40% of our development portfolio will be safe harbored by June 2026. Energy storage remains a core pillar of our growth strategy. In Europe, the rapid growth in renewable energy generation capacity has not been matched by a corresponding build-out of storage capacity, creating a meaningful shortage of battery energy storage systems and a significant opportunity for fast growth supported by attractive returns. Our expansion momentum in Europe continued in the fourth quarter and into 2026 with the acquisition of Project Jupiter in Germany, a 2-gigawatt hour energy storage project paired with 150 megawatts of solar generation capacity expected to generate unlevered return of about 15%. This acquisition follows the acquisitions in Germany and Poland we disclosed in the previous quarter and further strengthens our position in the largest and one of the fastest-growing renewable markets in Europe. Overall, during the year, we expanded our mature storage portfolio in Europe by 3.5 gigawatt hour. We are highly committed to continuing our expansion in Europe. Leveraging our expertise and execution capabilities to capture the significant opportunities in the market. Our mature storage portfolio globally reached 17.5 gigawatt hour. An increase of over 50% from the previous quarter and over 6x its size, just 3 years ago. This expansion is yet another testament to Enlight's entrepreneurial DNA and our ability to recognize opportunities and act decisively. Our mature storage portfolio represents annual run rate revenues of approximately $1 billion. Nearly 50% of the revenue is currently reflected in our overall mature portfolio, positioning Enlight to benefit from power price fluctuations, optimization management, capacity services and ancillary grid services across markets. In Israel, we added meaningful storage capacity and continued to advance our solar-plus-storage build-out. Reinforcing local system flexibility and resilience. Over the past 12 months, high-voltage storage projects, totaling 1.35 gigawatt hour progressed from the advanced development portfolio to preconstruction. In addition, during the quarter, we signed an agreement with Mivne, a leading Israeli real estate firm with more than 550 assets nationwide to supply electricity for approximately $500 million over 15 years and to form a partnership, which will develop energy storage facilities at Mivne Properties across the country. The agreement follows dozens of similar distributed storage agreements signed over the past 12 months with leading real estate companies and other organizations. We are also expanding our agrivoltaic presence in Israel with 49 deals signed only in the past 12 months, reflecting a future solar generation capacity of approximately 2 factored gigawatt and growing synergies between solar and agriculture. As I mentioned earlier, we see a step change in power demand from AI and data centers. Industry outlooks indicate U.S. data center electricity consumption could roughly triple by the end of the decade. This demand must be met with scalable, cost-effective and clean energy, precisely where solar-plus-storage deliver superior levelized cost of electricity and time shifting capability. Our development capabilities position Enlight to be a partner of choice for large utilities and corporates as this build-out accelerates. We will share additional details on our strategy and plans to capture the data center opportunity at our upcoming virtual investor event on March 9. Looking forward, our strategy remains consistent and ambitious to triple the size of the business every 3 years by advancing high-quality projects through a derisked development funnel, while maintaining discipline on returns and capital structure. The continued growth of our operating portfolio and cash flow generation, combined with our differentiated global access to capital and execution capabilities enable us to further accelerate investment and Enlight's long-term growth. Commensurate to this, I'm excited to share that 2026 will be a record year of construction for Enlight with the expected beginning of construction of 3 to 4 factored gigawatts resulting in a record level of approximately 7 factored gigawatts that will be under construction during the year. In fact, almost all of our current mature portfolio will be either income-generating or under construction during 2026. By the end of 2026, we expect to add about 1.1 factored gigawatt to our operational capacity, primarily in the fourth quarter of the year. That will contribute annual run rate revenue and income of $137 million and adjusted EBITDA of $109 million. By year-end 2028, we expect to achieve 12 to 13 factored gigawatts of operating capacity, predicted to generate annual run rate revenue and income in the range of $2.1 billion to $2.3 billion. Over 11 factored gigawatts out of this capacity is in our mature portfolio. Underscoring the significant progress we made this year in increasing the visibility and certainty of our pipeline. Compared to our estimates in the previous quarter, 2028 revenue and income annual run rate increased by approximately $150 million and the planned capacity expanded by 1 factored gigawatt at the low end. The unlevered return on investment reflected in our under construction and preconstruction projects is expected to range from 12% to 13%, up from the 11% to 12% range we referenced last quarter, highlighting our continued focus on disciplined accretive growth. We now expect to deliver a return on equity of more than 18%. Before I hand over the floor to Jared, I would like to reiterate the key takeaways. We delivered a strong finish to 2025. Exceeding guidance by growing revenues and EBITDA meaningfully and continue to rapidly expand and derisk our pipeline. We are positioned for a record construction year in 2026 and remain on track to reach 12 to 13 factored gigawatt of operating capacity by 2028 at attractive returns, supported mainly by our current mature portfolio and underpinned by disciplined returns. With that, I will hand the call over to Jared.
Jared McKee: Thank you, Adi. In 2025, we continued to execute our growth strategy in the U.S. We doubled our operational capacity to 1.6 factored gigawatts and we have close to 5 factored gigawatts of additional projects under construction or in preconstruction expected to come online by the end of 2028. In fact, a recent analysis by S&P placed us in the top 10 solar companies in the United States. In the fourth quarter of 2025, we commissioned two new co-located PV and battery facilities and have fully mobilized construction on three more. The Roadrunner solar and storage facility in Southeast Arizona has been successfully commissioned. This facility has a generation capacity of 290 megawatts and energy storage of 940-megawatt hours. We achieved an early COD on the PV portion of the project, bringing an earlier-than-expected revenues for the quarter. We also achieved COD on our Quail Ranch solar and storage facility. This includes the 128-megawatt PV site and 400-megawatt hour battery storage. These projects bring our operational portfolio in the U.S. to 888 megawatts of generation and 2,540 megawatt hours of energy storage. Combined, these facilities are delivering enough energy to the grid to power over 220,000 American homes. We are in full construction on the first phases of two mega projects in the American Southwest, the Snowflake and CO Bar complexes. First, on the CO Bar complex, I am excited to announce that we have received full approval for the 1-gigawatt interconnection for the facility. The CO Bar project is a special project. and indicative of what the Clenera team can accomplish through their development expertise, tenacity and grit. The executed LGIA provides certainty on the interconnection and enabled a full construction mobilization. The construction team is mobilized in the first two phases of the project, CO Bar 1 and CO Bar 2. CO Bar 1 includes 254 megawatts of PV generation and 824-megawatt hours of battery storage with commercial operations scheduled for the second half of 2027. CO Bar 2, a 480-megawatt PV project anticipates commercial operations in the first half of 2028. We have also signed energy storage agreements with Salt River Project for the storage Phases, CO Bar 4 and 5. With these energy storage agreements in place, the entire 1,211 megawatts of solar and 4,000 megawatt hours of battery, the CO Bar complex is fully subscribed. Full mobilization of the CO Bar 3, 4 and 5 projects totaling 473 megawatts of PV and 3,176 megawatt hours of BESS is targeted over the next 6 to 12 months with commercial operation anticipated between the second half of 2027 to the first half of 2028. Moving on, Phase 1 of the Snowflake complex, Snowflake A includes 595 megawatts of PV and 1,900 megawatt hours of energy storage. The complex is located in Northeast Arizona, near the city of Holbrook. More than 300 skilled workers are mobilized on-site, advancing construction of the solar, battery, substation and transmission infrastructure. They have completed site mass grading installed about half of the PV and best piles and over 1/3 of the racking. The civil work for the substation energy storage facility is complete, and we will be receiving shipments of batteries soon. Once operational, the two complexes will generate enough clean energy to power over 325,000 Arizona homes. These mega projects exemplify our belief that utility-scale solar can deliver clean, reliable energy, while advancing responsible land stewardship. Early construction at CO Bar 1 and 2 removed hundreds of acres of invasive vegetation to be restored with native grasses, forms and flowers to enhance biodiversity. We are also funding a multiyear study to monitor large mammal migration around the complex, demonstrating the multidimensional opportunities our projects create in Arizona. We have also started construction at our Crimson Orchard project in Elmore County, Idaho. This project includes 120 megawatts of PV generation and 400-megawatt hours of energy storage. We expect it to be commissioned in the first half of next year. Once it is online, it will generate enough energy to power over 20,000 Idaho homes. The final project under construction is Country Acres, a 403-megawatt solar and 688-megawatt hour battery project near Sacramento. The mobilized construction crew is similar in size of Snowflake A with over 300 workers on site. They have completed site mass grading and installed nearly all PV and best piles along with half of the PV racking and 1/3 of the modules. The site substation is about 2/3 complete. The project remains scheduled for commercial operations by year-end, briefly reflecting on 2025. I want to thank everyone at Enlight and Clenera, as well as our customers, suppliers and contractors for their dedication and excellence throughout the year. We have once again demonstrated strong execution reinforcing the solid fundamentals of our energy market as utility and large load customers continue to seek new sources of generation. Global and U.S. power demand is expected to grow by more than 80% between 2025 and 2028, and Clenera and Enlight are well positioned with the financial strength, operational excellence, and mature projects to capitalize on this growth. In 2026, we will continue to build on this success and execute our U.S. growth strategy. I'll now turn the phone over to Nir.
Nir Yehuda: Thank you, Jared. The fourth quarter of '25 has been a strong quarter for Enlight, mainly resulting from the operation of new projects in the U.S. as we continue to materialize our growth plan. In the fourth quarter of '25, the company's total revenues and income increased to $152 million, up from $104 million last year, a growth rate of 46% year-over-year. This was compared of revenues from the sale of electricity, which amounted to $124 million, an increase of $31 million from the same period of '24, as well as recognition of $28 million in income from tax benefit, an increase of $70 million from Q4 '24. The growth in revenues from the sale of electricity is mainly attributed to newly operational projects, which contributed a total of $18 million to the growth in revenue. This project included Atrisco in New Mexico, which started commercial operation in December '24 and contributed about $11 million to sales of electricity, as well as Square Range in New Mexico and Roadrunner Arizona, which started commercial operations towards the end of '25 and contributed $2 million in the sale of electricity. Additionally, Project Pupin in Serbia started commercial operation towards the end of '24 and contributed $5 million to the increase in sale of electricity compared to Q4 '24. Additional notable items include an increase of $7 million in the sale of electricity in Israel attributed to electricity trade activity and contribution of $7 million from exchange rate fluctuation, mainly the depreciation of the U.S. dollar compared to the Israeli shekel and the euro. The increase in income from tax benefit is mostly attributed to Atrisco, which contributed $11 million, of which $3 million is attributed to the eligibility for domestic content. Roadrunner and Quail Ranch contributed an aggregate amount of $6 million to income from tax benefit. Revenue and income was distributed between MENA, Europe and the U.S. with 32% from Israel, 37% from Europe and 31% from the U.S. The company's adjusted EBITDA grew by 51% to $99 million compared to $65 million for the same period in '24. The increase in revenue was offset by an additional $12 million in cost of sales linked to new projects, while SG&A and project development expenses was by $3 million. Fourth quarter net income increased by $13 million compared to Q4 '24, amounted to $21 million. An increase of $34 million in EBITDA was partially offset by an increase of $12 million in depreciation and amortization attributed to the start of operation of new projects, as well as share-based compensation. Additionally, net financial expenses increased by $4 million and tax expenses increased by $7 million. Enlight secured a significant amount of new funding due in '25. At the project level, we secured $2.9 billion of project finance, as well as tax equity in the amount of $470 million, and the mezzanine loan amounted to $350 million. At the corporate level, we raised $300 million in equity, $245 million in debenture, and $50 million in an asset sale. Altogether, since the beginning of '25 Enlight raised $4.3 billion, providing the financial underpinning for our ambitious expansion plan with particular focus on the U.S. In addition to these funds, we have $525 million of credit facility at several banks, of which $360 million was available for use at the balance sheet date. In addition, we have approximately $1.5 billion in LC and surety bond facility, supporting our global expansion, of which $790 million were available for use at the end of the quarter. This further increases our financial flexibility as well continue to deliver on our growth strategy. Moving to 2016 guidance. We expect revenues and income between $755 million and $785 million, and adjusted EBITDA between $545 million and $565 million, reflecting annual growth of 32% and 27% at the midpoint, respectively, compared to '25 results. Our revenues and income guidance for '26 includes recognition of an estimated $160 million to $180 million in income from U.S. tax benefit. 90% of '26 generation output is expected to be sold at fixed prices, either through PPA or hedging of our total forecasted revenues and income, 39% are expected to be denominated in U.S. dollars, including tax incentives, 34% in Israeli shekel and 27% in euros. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And your first question today comes from the line of Justin Clare from ROTH Capital Partners.
Justin Clare: So I first wanted to just start out, you had increased your expected annualized revenue and income run rate for 2028 to $2.1 billion to $2.3 billion, up from the $1.9 billion to $2.2 billion. So just wondering if you could walk through the drivers of the increase in that outlook? How much of that was attributable to the acquisition of the Jupiter project in Germany? And then just more broadly, how should we think about the potential role of acquisitions and the growth strategy here and whether there could be additional opportunities to accelerate the 2028 growth or beyond as a result of M&A?
Adi Leviatan: The acquisition of the Jupiter project contributed in and of itself. $150 million to the overall sum of the 2028 run rate revenues. In addition to that, CO Bar 4 and 5 were moved from the -- if you note that little dotted line on the 2028 annual revenue rate, it moved up from the advanced development into the preconstruction. So it moved into the 2.0 number, which did not extend the top range, but it does increase the level of certainty that it is now in the mature portfolio. And Justin just to also pick up on the second part of your question, we are always looking at opportunities also for acquisitions of projects and pipelines where it makes sense. Specifically, in the case of the storage markets in Europe, and specifically Project Jupiter in Germany, it is an opportunity to enter the market relatively quickly. That would be a reason why we would go for an acquisition of a project that is relatively mature. We are still a greenfield developer, but we do have the flexibility to acquire projects when we want to come into the market early, and you can see about the Jupiter project that they still -- it does not come at the expense of the project returns. As we mentioned in the presentation deck, it is a 15% unlevered project returns. So even when we acquire projects that are relatively mature, it does not come at the expense of the returns.
Justin Clare: Okay. Got it. Sounds good. And then just maybe shifting over to the safe harbor. You had indicated, I think, 13.2 factored gigawatts have currently been safe harbored. I think 4.3 over the last 3 months. So just at this point, can you talk about the potential to safe harbor additional capacity, is there a possibility to get beyond the 14 to 17 factored gigawatts targeted range. I'm just wondering if you could speak to any constraints. Are you limited more by just the pipeline of projects that you have? Or are there any limitations in equipment access or interconnection progress or other factors?
Adi Leviatan: I will answer the question, and then I will also refer it onwards to Jared. I will just answer that we do plan to still safe harbor, 0.5 to 3.5 factored gigawatt in this first half of 2026. And after that, of course, the safe harboring of PV solar projects will be capped. But safe harboring of energy storage projects is still available for 3 more years. So in that sense, we will be continuing to safe harbor specifically best so battery energy storage projects. But I will hand it over for Jared to complement my explanation.
Jared McKee: Yes. Thanks, Adi. We stand behind the 14 to 17 factored gigawatt range of safe harbor. As Adi mentioned, there are additional projects that we're looking at for 2026 that we'll be able to have full tax credits through 2030. The 14 to 17 factored gigawatt range is something that we're actually very proud of. It's been a significant undertaking from the team, as you all know, we include physical work of a significant nature, both off-site and offsite, offsite and on-site for our projects. And really, this gives us a very broad base to be able to pull from over the next 4 years as we're out there constructing and finishing our projects over the next 4 years.
Operator: And the next question comes from the line of Mark Strouse from JPMorgan.
Mark W. Strouse: Just a follow-up -- just a follow-up on Justin's question there. Just kind of given the outperformance in the stock that you've seen over the last several months, I understand that you're always looking at potential project acquisitions. But, just kind of curious how to think about the potential for kind of platform acquisitions. Are there other companies that you could potentially accretively acquire either to expand your capabilities, expand your geographic reach? Any comment there would be great.
Adi Leviatan: Thank you for the question. We are in a, I would say, potentially enviable position. We do have the flexibility and the ability to raise significant amounts of funds were liquid, we have various sources, including some that you've seen. I mean, that our projects are fully funded through 2028. So we're always looking at opportunities to acquire not only projects and platforms of projects, but also potentially if we need those missing capabilities also potentially more than that. And we will act accordingly in the various markets where we are operating, which is the U.S., Europe and Middle East, North Africa and approach these kinds of opportunities with great care for overall growth trajectory and for the shareholder value.
Operator: And your next question today comes from the line of Maheep Mandloi from Mizuho.
Maheep Mandloi: Congratulations on the quarter and the guidance here. And just going back to the question on safe harbor. With the new rules, the guidance, which came out last week, has that been more or less in line with expectations? Or does that change anything for you for safe harbor in the next few months here?
Adi Leviatan: Jared, do you want to take this one? I think it's regarding FEOC.
Jared McKee: Yes, I can take it, Adi. Just to confirm, this is the recent publication that was provided on FEOC did provide some clarifications regarding population methodology and the share of equipment originated from FEOC countries. They are in line with our previous guidelines and our estimates, and they help reduce uncertainty somewhat. The guidelines define the calculations, but they're still -- there's still more information that we expect to come. And so we do not expect any impact on our current estimations on our mature portfolio, as well as any projects, obviously, that we safe harbored already in 2025. As you know, those projects are not subject to FEOC. We don't expect a significant impact on any projects that we will safe harbor through the end of -- through the middle of this year, really, we do expect some additional guidance on FEOC.
Maheep Mandloi: Got it. Got it. And you guys kind of talked about almost $1 billion of cash, I think, between the HOLDCO and the subsidiaries and unrestricted restricted cash. So the question is more on the capital plan for equity needs. Does the cash on hand fund your projects through 2028? Or how should we think about equity needs for '28 and potentially even post '28 as well?
Adi Leviatan: I'm going to ask our Chief Corporate Development Officer, Itay Banayan to take the question.
Itay Banayan: o yes, the -- we have all of the available sources in our hands to fund the growth that we're presenting through the end of 2028. So if you'll see in the presentation, we're showing that we have a significant amount of projects already under construction as part of the mature portfolio, and these were already funded, obviously, and a significant portion that we're expecting to start construction this year. So basically, almost all of our mature portfolio will be either generating or under construction this year. And all of the sources needed to take us through the business plan towards the end of '28 are already available. On the corporate level, obviously, some of the projects will need to do the project level financing, which is a part of the ordinary of doing business, but the corporate side we are fully funded.
Operator: [Operator Instructions] And the next question today comes from the line of Michael Mcnulty from Deutsche Bank.
Michael Mcnulty: My first question relates to partial asset sales. Obviously, you did that last year with the Sunlight cluster. Can you touch on your expectations of partial asset sales into 2026, if anything is embedded in guidance? And then what we would need to see for that to happen.
Adi Leviatan: Thank you for the question, Mike. I will refer this one to our Chief Corporate Development Officer, Itay Banayan.
Itay Banayan: Mike, so we've mentioned it several times before. It is part of our strategy to contemplate minority sales or sell-downs of some of our projects where it makes sense and where it's accretive to the company. We have a lot of flexibility on our sources. So it did contribute to the numbers in 2025, and we don't see it as a onetime event. We think it will be part of the ordinary course of doing business. And also, when you can see on the road map to 2028, we are increasing -- gradually increasing the weighted average of our holding in our portfolio. We're going all the way to 91%. So there is a lot of meat on the bone. And when it will make sense, we might do like additional transactions like the one we did in Israel in '25.
Michael Mcnulty: Okay. That's helpful. And then my second question is a lot of the expansion in 2026 is weighted towards the latter half, I believe, 4Q. So with your overall guidance, can you talk about the key drivers of the growth within your guidance given a lot of the capacity is weighted towards the back half?
Adi Leviatan: Thank you for the question again, Mike. So the U.S. projects that we just connected in Q4 of 2025, Quail Ranch and Roadrunner are going to have their first full year of revenues in 2026. So -- and as you stated correctly, the projects we're connecting in 2026 will mostly -- I mean, they will have their full year of revenues in 2027. Thankfully, we are, I mean, well diversified across different geographies, different projects, different technologies. And so in addition to the ones I just mentioned in the U.S., there's also a very significant projects in Israel that are also -- have also been connected in 2025 and will have their first year of full revenues, project called Bar-On, which is a floating PV plus storage. So we have projects in Europe that we're also working on that will be connected earlier in the year. So overall, that is what's contributing to the growth in revenues and EBITDA in 2026.
Operator: There are no further questions. I will now hand the call back to Adi for closing remarks.
Adi Leviatan: We would like to thank you very much for supporting us for dialing into this call for asking questions. We highly appreciate the engagement with all of you, and we look forward to continuing to deliver excellent results and to see you in the next quarter. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.